Operator: Good afternoon. Thank you for attending the Endeavor Group Holdings Second Quarter 2023 Earnings Call. My name is Matt, and I will be your moderator for today's call. All lines will be muted during the presentation portion of the call for an opportunity for questions and answers at the end [Operator Instructions].  I would now like to pass the conference over to our host, James Marsh. James, please go ahead.
James Marsh: Good afternoon. And welcome to Endeavour's second quarter 2023 earnings call. A short while ago, we issued a press release, which you can view on our Investor Relations site, investor.endeavorco.com. A recording of this call will also be available via that site for at least 30 days. Today, you will hear from Endeavor's CEO, Ari Emanuel; and CFO, Jason Lublin, before President and COO, Mark Shapiro will join us for Q&A. The purpose of this call is to provide you with information regarding our second quarter 2023 performance in addition to our financial outlook for the balance of the year. I do want to remind everyone that the information discussed will include forward-looking statements and/or projections that involve risks, uncertainties and assumptions, as well as described in the risk factors section of our filings with the Securities and Exchange Commission, including our 10-Qs and 10-K. If these risks or uncertainties ever materialize or any assumptions prove incorrect, our results may differ materially from those expressed or implied in such forward-looking statements and projections. Forward-looking statements speak only as of the date they're made and we undertake no obligation to update them publicly in light of new information or future events except as legally required. Our commentary today will also include non-GAAP financial measures, which we believe provide an additional tool for investors to use in evaluating ongoing operating results and trends. This measure should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP. Reconciliations between GAAP and non-GAAP metrics for all of our reported results can be found in our press release issue today as well as in the non-GAAP financial information posted in our IR Web site. With that, I'll turn it over to our CEO, Ari Emanuel.
Ari Emanuel: Thanks, James, and good afternoon, everyone. We delivered solid results in the second quarter, reflecting ongoing demand for premium content and live events. Before I share highlights from our four segments, I'd like to note two deals in particular. First, we closed our sale of IMG Academy at an enterprise value of $1.25 billion. As previously announced, we will now commence our share repurchase and dividend payment initiatives in the third quarter. Second, having completed antitrust reviews for our proposed combination of UFC and WWE, we are closing in on the launch of TKO Group Holdings, which we currently expect in mid to late September. As we have discussed, exposure to TKO via our 51% controlling ownership offers compelling upside for endeavor. Planning is underway to begin maximizing revenue and cost synergies immediately upon closing. And I'm bullish on the TKO outlook and the progress of the WWE Media renewal discussions. We will give further clarity on those initiatives in due course. Now turning to highlights within our segments. In Owned Sports Properties, UFC 287 in Miami drew 19,000 fans and generated ticket sales of $11.9 million, making it the highest grossing event ever at the Kaseya Center and sixth highest in UFC history. We're also excited about UFC’s upcoming return to Sydney, Australia after securing a four year AUD16 million investment from the New South Wales government to host multiple events inclusive of site fees. The first of those events, UFC 293, will take place this September just ahead of our new multi-year agreement that will make Foxtel Group the exclusive distributor of all UFC pay-per-views in Australia beginning in 2024. Within our Events, Experiences & Rights segment, our owned events got off to a strong start in the second quarter. Of note, the Madrid Open Tennis Tournament now in its second year as part of Endeavor set a new attendance record with more than 325,000 fans across 12 days. Our Taste of London Food Festival similarly set an attendance record attracting more than 56,000 guests across five days. At On Location, we're seeing strong demand for upcoming live events. Tickets have already sold out for the 2023 Air Lingus College football classic between Notre Dame and Navy, which is expected to draw nearly 40,000 fans from the US to Ireland. Reportedly, this event is projected to set a world record for the largest number of Americans traveling internationally for a single sporting event. Additionally, On Location's early ticket and suite sales for Super Bowl 58 in Las Vegas are off to a record start. And with exactly one year to go to Paris 2024, we're optimistic about the anticipation and demand we're seeing in the lead up to the games. At IMG Media, we wrapped another successful Premier League season producing live coverage and distributing content to millions of international fans in more than 180 countries. Also, IMG Media was chosen to produce the BBC's highly anticipated coverage of the FIFA Women's World Cup, which is now underway in Australia and New Zealand. IMG is managing the incoming live match feed studio presentation and highlight programming for the BBC's 33 fixtures throughout the tournament. Within our Sports Data & Technology segment, IMG Arena secured worldwide data and streaming rights for the National Women's Soccer League. And at OpenBet, following the successful launch of their online sportsbook partnership with OPAP, Greece's leading gaming company, OpenBet will soon be expanding into their retail network of more than 4,000 shops and 20,000 terminals. This significant development demonstrates our focus on pursuing durable growth within the sport betting ecosystem and capitalizing on opportunities in newly emerging sports betting markets globally. Finally, within our representation segment, despite the beginning of the WGA strike within the quarter, WME verticals outside of film and television performed well. Broadway is coming back strong, comedy tours are selling out, and we're having our best year for music touring. In country music, in particular, more than 100 WME clients participated in nearly 200 performance slots throughout CMA Fest Week in June. Also in the quarter, WME celebrated many awards and nominations for clients, including at the Tony Awards where the creative team behind Kimberly Akimbo took home five awards, including Best Musical, making it the seventh musical from WME Talent to win in this category over the last 10 years. More recently, more than 110 WME clients were involved in ME nominated projects, including a combined 40 nominations for succession and the bear. And as a sign of continued momentum for WME Sports, we had five first round and three lottery picks in the NBA draft, the most of any agency and represent the world's number one tennis players, Iga Swiatek, who won at Roland-Garros and Carlos Alcaraz, who took home his first Wimbledon title last month. WME also recently completed several tuck-in acquisitions that deepened and broadened our representation capabilities within several growing categories. In music, WME acquired Red 11 to further scale its position in country music and touring. And in books, WME acquired Washington DC based literary agency, Ross Yoon, expanding our literary and commercial non-fiction offering. As just one example of the opportunity this presents, Ross Yoon represents Kai Bird, author of the book, American Prometheus, which inspired the hugely successful film Oppenheimer that was written, directed and produced by our client, Christopher Nolan, and features clients, including Matt Damon, Robert Downey Jr. and Kenneth Branagh. These acquisitions, along with our capabilities and expertise across the Endeavor flywheel further enhance our ability to build holistic businesses around our WME clients. Before I turn the call over to Jason, I'd like to close with some thoughts on the strikes. I have been through many strikes over my more than 35 years of representing actors, writers and creatives of all types whose livelihoods depend upon the entertainment economy. Time and again, our industry has navigated change and now is no exception, as we adjust to new distribution models and technologies. There are real issues to work through and we continue to stand with our clients, advocate on their behalf and push for a resolution that protects their creative and commercial interests. With that, I will now turn things over to Jason to walk you through the quarter in detail.
Jason Lublin: Thanks, Ari, and good afternoon, everyone. I will start by walking you through our financial results for the second quarter. I will then provide some color on what we are seeing in each of our operating segments. All comparisons will be to the second quarter of 2022. For the quarter ended June 30, 2023, we generated $1.436 billion in consolidated revenue, up $123.7 million or 9.4%. Net income for the quarter was $666.5 million compared to $42.2 million. The change in net income was largely driven by the gain from the sale of the IMG Academy, which we completed at the end of June. Adjusted EBITDA for the quarter was $304.9 million, down $1.4 million. Now I'll walk you through each of our segments. Our Owned Sports Properties segment generated revenue of $340.1 million in the quarter, up $8.2 million or 2.5%, while the segment's adjusted EBITDA for the quarter was $179.2 million, up $18 million or 11.1%. As a reminder, the prior year quarter included $30 million of revenue related to Diamond Baseball Holdings, which we sold in September of 2022. Revenue growth in this segment was primarily driven by increased live event revenue at UFC. Largely from two more events held outside of the Apex, higher media rights fees and sponsorships and an increase in commercial pay-per-view. In the quarter, we signed a new multi-year rights agreement with Mola in Indonesia. The increase in our aggregate AAV remains approximately 100% over prior deals since we began tracking in Q2 of 2021. At PBR, we set 11 event revenue records, including eight sold out performances. We signed long term partnership extensions with Ariat and Pendleton Whiskey and we inked new partnerships with Bass Pro Shops for PBR's team series and Unleash The Beast series. Now turning to Events, Experiences & Rights. The segment recorded revenue of $591.1 million in the quarter, up $23.3 million or 4.1%. Segment adjusted EBITDA was $76.6 million, down $16 million or 17.3%. Revenue growth was driven by record ticket sales at the Madrid Open, the inclusion of Barrett Jackson, increased media production revenue at IMG Media and increased revenue at IMG Academy. Revenue growth was partially offset by decreases in On Location’s music business, as well as decreases at Endeavor Streaming. Segment adjusted EBITDA for the quarter was impacted by On Location’s ongoing IoC investment, which began in the third quarter of last year, and is inclusive of personnel, marketing and technology costs. The clients have Endeavor Streaming due to run off of legacy deals and changes in client spending trends, a challenging comparison for the Masters and NCAA Final Four, given weather and matchups. And lastly, timing related shifts and certain sponsorship deal signings for soccer clubs we represent, which we expect to close in Q3. The decline in segment adjusted EBITDA was partially offset by growth in our events, media production and IMG Academy businesses. Moving on to our Representation segment. Revenue was $381.1 million, up $23.2 million or 6.5% while adjusted EBITDA was $107.1 million, down $4.1 million or 3.7%. The increase in segment revenue was primarily attributed to the content deliveries within our non-scripted content production business, as well as growth at our 160over90 business. The increase was partially offset by the early stage impact of the writer strike, which had an impact on segment adjusted EBITDA in the quarter. Now turning to our Sports Data & Technology segment. Revenue was $130.6 million, up $70.2 million or 116.3% while adjusted EBITDA was $13.7 million, down $1.8 million or 11.7%. Revenue growth in the segment was attributed to the addition of OpenBet, which we acquired in Q3 of last year as well as growth in the existing betting data contracts at IMG Arena. Segment adjusted EBITDA, which benefited from the inclusion of OpenBet, was offset by increased data costs at IMG Arena in advance of the sales cycle. As we previously noted, these new data costs continue to create temporary pressure on segment margins, which we anticipated. We continue to expect to monetize these data rights in the upcoming sales cycle. Performance in the quarter remains consistent with our previous commentary of the segment being back half loaded for the year. Moving on to our capital structure. We ended the quarter with $5.11 billion in debt and $1.62 billion in cash, resulting in approximately $3.49 billion in net debt. Our net leverage was 3.06 times at quarter end. In July, we completed our voluntary pay down of $50 million of debt. Later this month, we expect to commence our share repurchase of up to 300 million of Class A common stock at quarter end. We also intend to distribute our first quarterly dividend in an amount up to $25 million to holders of our Class A common stock and our other equity holders at Endeavor Operating Company. Now related to our outlook. This is the first time in 63 years, both WGA and SAG-AFTRA are striking simultaneously. We currently estimate the strikes will adversely impact our revenue by approximately $25 million per month on average, which largely flows through to adjusted EBITDA. However, without knowing the scope, duration and shape of the eventual recovery, especially given that the SAG-AFTRA strike is a relatively new development having taken effect only on July 14th, it would be premature to speculate the aggregate dollar impact for the balance of the calendar year. Accordingly, we encourage investors not to rely on our previously communicated annual guidance estimates. We plan to provide further updates on the impacts of the strike during our Q3 earnings call and we expect to update new guidance targets during the ordinary course of future earnings announcements as and when these labor disputes are resolved and we have greater visibility. Beyond the impact of the strike, our other businesses in aggregate remain on track with our adjusted EBITDA expectations. Despite near term disruptions related to the strike, we continue to be focused on executing our strategy. With that, I'll turn it back to you, James.
James Marsh: Great. Thanks, Jason. Operator, can we open up the call for questions please?
Operator: [Operator Instructions] The first question is from the line of John Hodulik with UBS.
John Hodulik: I guess, first, just a housekeeping question. Jason, on your latest comments there, I mean, why withdraw guidance versus sort of update the guidance for the strike, I guess, unless something else has changed in the business?
Ari Emanuel: Look, first of all, as you know, we provide annual guidance, not monthly. And currently forecasting our annual guidance is complicated. The situation we're in is largely unprecedented. The added complexity of the recent development with the SAG-AFTRA strike, unknown duration and hard to figure out the ultimate shape of recovery. So at this time, we believe it's not prudent to try to forecast our business on an annual basis, just too many moving parts based on what we know today. That said, we are providing transparency by giving our best estimate of our current monthly impact. So you have the inputs to make your own assumptions on the ultimate impact of the strike. Excluding the strike, our business are on track. Q2 results are just ahead of street expectations and year-to-date, we've done roughly $3 billion in revenue and over $600 million in adjusted EBITDA. And as we said, adjusted EBITDA for the rest of the business is in line with our previous expectations, and we'll also plan to update more in Q3 as we know more we'll share more with everybody.
Mark Shapiro: I’d just remind you, I mean, last quarter Ari was very specific on, hey, we're getting our arms around this writer strike, w e're going to come on the call the next quarter and we're going to be able to quantify what kind of hit and how long lasting that's going to be. Now as we're getting ready to do that, bang, just three weeks ago, we get hit with the SAG-AFTRA strike, right, which is something, as Jason said, when we haven't seen in 60 plus years. So this is a once in a generation event. So we need some time to get our arms around that and give you guys the kind of clarity and transparency you're looking for. In the meantime, you're going to get monthly guidance, which we've just given you here. And just to underscore the other part of your question, no, there's nothing to see here, if you will. I mean, the business is doing well, we're tracking well on all of our other businesses. There's no watch out points, if you will. Even WME outside of the strike is doing really well. Sports is doing well. Music, as I'm sure you've read about, is on fire. Comedy's great. Broadway's doing well. Our speakers bureau, our folks are getting booked right and left for speaking engagements. But we're being prudent here because remember the second half of the year has some of our big events, some of our big headline assets. Winter Wonderland is our biggest event that doesn't take place till December. We have a Connor McGregor fight that we've budgeted for in the second half, we have four freeze events. And I'll just remind you, when it comes to Sports Data & Technology and IMG Media, we're loaded in the back half on both of those businesses. So again, good shape but still a lot of wood to chop in the last six months.
John Hodulik: And so, just to make sure I understand sort of what you're saying there, Jason, the $25 million a month, it lasts for six months, sort of the rest of the year, effectively the guidance goes from $1.25 in the neighborhood of $1.1 billion in EBITDA for the year. Do I got that right?
Jason Lublin: So John, look, we're not going to give guidance for the year. But what I would say is, given what we know now and noting that the SAG-AFTRA less than 30 days old and based on our best estimates of the impact of the strike, given what the business has performed to date through the first six months and the fact that the rest of our business is generally aligned, I definitely -- that's a reasonable way to look at the business and to look at our numbers. That being said, we will of course update in Q3 as well to give any changes to that view or based on actuals for Q3 impact of the strike and anything we are seeing different. But I think that's a reasonable basis to look at the business…
Ari Emanuel: Including up or down, the events that these strikes get settled earlier than most people anticipate. So as they're saying, in math class, you would have gotten an A…
John Hodulik: And now my actual question, I mean, we are sort of halfway through earnings here. And the weakness in the linear TV ecosystem is definitely front and center. And I guess, either from Mark or Ari, I mean, any evidence that you are seeing that, that weakness is translating to sort of less appetite for sports rights?
Ari Emanuel: Well, here is what I'd say. We continue to see live sports as a long term driver of demand despite near term issues regarding linear channels. Scarcity value, professional sports leagues teams, franchises, as you know is true. Rising consumer engagement and viewership, they are spending on experiences and sports betting adjustments, consistency on delivering appointment viewing ahead of can't miss moments. So legacy broadcasters still represents the lion's share of sports rights in revenues with big tech companies and SVODs seen as newcomers despite significant investment in the space. We just saw Max saying they might have a sports tier. Same thing with Peacock. Clearly, the ecosystem is entering a generational change and we continue to feel live sports for main up and to the right. We also think that the properties like UFC and WWE are premium content appointment television and feel great about the value of those rights.
Operator: Next question is from the line of Ben Swinburne with Morgan Stanley.
Ben Swinburne: I think, Jason, you mentioned the buyback or I mean, it was already starting later this month. I was wondering if you could give us a little more specificity, any reason why it can’t start after you guys finished reporting this evening? And then, I guess, Ari, are you thinking about anything on the cost side at WME? I mean, I think Jason said the revenue hit will largely flow through to EBITDA, which suggests the cost structure is pretty fixed. I'm just wondering as this sort of strike continues to move along, how your guys are thinking about the expense side of the equation? And then if I can just ask one more, I apologize, but John asked three, so I figured it's fair. What are you thinking for capital allocation once this TKO deal closes? That business generates massive free cash flow, rapidly delevers, and it's going to close in the not too distant future. Anything you can share with us sort of post close strategy around use of cash flow and capital allocation?
Ari Emanuel: We may have to go back through that one…
Mark Shapiro: Yes, we might have to go through it back to this, but we will try if we miss anything. Let us know. As far as the buyback, we need to be in an open window, and we have a few days into that open window before we can execute it. So it'll just be a little bit before we can start that program. So that's more just technical in nature. As far as cost structure, we've addressed some of the cost structure already, as you can imagine, on some of the variable costs. So when we gave that 25 number largely flowing through, that sort of already indicated -- took into account what we've been able to do on the cost side. We're saying largely flow through, because we do think there's potentially an opportunity to get a little bit more as time goes on. But keep in mind, there's a lot of aspects of the agency that are still operating very well, as Ari said, in full force. So we want to make sure we're not doing anything that's impacting those sort of -- those sides of the business as well.
Ari Emanuel: But we would never, I mean, obviously, Ben, I mean, never waste a crisis, right? I mean, we've been through this before with COVID. We are tight on all controls, efficiencies is the word of the moment. And whether it comes to pruning our portfolio or just freezing hiring in T&E, you can bet we're lifting all levers. And the third question?
Mark Shapiro: What was the third question?
Ben Swinburne: TKO capital allocation given the cash flow and the leverage there, what do you think you might do with all that capital potential?
Mark Shapiro: Well, I mean, to be honest, right now we're just focused on closing the transaction. We're not going to speculate, but yes, we know it's going to be highly capturing the business with a good leverage profile. And at that point in time, we'll address and make the right capital allocation decisions on behalf of TKO and will make the right capital allocation decisions on behalf of TKO at the time.
Operator: Next question is from the line of [indiscernible] with Evercore ISI.
Unidentified Analyst: Maybe switching gears a bit, there's a lot of focus on TKO. But I was actually hoping to dig in a bit on the non TKO part of the company, because looking at the stock today, these assets seem particularly disconnected with other public or private valuations. So Ari or Mark, can you share your views on what gets you most excited about the outlook for these remaining businesses? And then Jason, I know there's a lot going on here and I don't expect guidance. But is there anything you could share on the financial profile you see ahead for the non-TKO group, particularly around free cash flow?
Ari Emanuel: So I would say the following, we operate in a large, global and fast growing marketplace. I think the combined TAM for sports, entertainment, music, live events, premium experience is roughly about $500 billion. Endeavor operates in the most durable layers of sports and entertainment value chain. Our management team has a long history of operating in an ever changing sports and entertainment industry. I would just say to you, we look at our business, we sold the production business for $1 billion, we sold the Academy for $1.2 billion. I think, I don't believe that anybody valued those assets with those numbers, we hear the speculation regarding tiering and CAA in our representation segment. We're larger than that even with the acquisition that they made of ICM. So if let's just say that's close to the valuation they're talking about just that portion alone, the representation segment is greater than that. And then I think when people look at On Location, IMG Media and our betting business, it's a significant business, the remaining assets. And hopefully they'll now begin to realize and be able to look at those without UFC in there and we'll get the value accretion that we think those remaining assets deserve.
Mark Shapiro: I mean, clearly, you can hear it. I mean, we struggle frankly with how undervalued EDR is these days for exactly the reasons Ari talked about. We're excited primarily because we have some terrific rights renewals in front of us, both in representing WWE for the time being and owning UFC and the synergy upside that will exist both cost and revenue at TKO. I would say, secondly, we see meaningful growth in events and experiences, especially when you consider the Olympics in Paris for 2024. On top of that, we see increased shareholder returns as leverage drops below 3 times after the TKO launch. And then finally, the demand for content, the demand for premium content, which is where we play premium content, UFC, WWE, all the entertainment programming that we package, that's not going anywhere anytime soon. So owning or representing it, we sit at the center, as you know, and we find ourselves in a very attractive space. So with that kind of financial profile and that debt leverage being less than 3 times after the TKO launch, we're excited about the prospects for Endeavor.
Jason Lublin: And on the free cash flow, as we said on the Q1 call, we're going to revisit free cash flow for the company in 2024, given a lot of the anomalies in 2023. But what I will reiterate, what we did has said prior is that we certainly expect the remaining assets of EDR to be free cash flow positive on a go forward basis.
Operator: The next question is from the line of Bryan Kraft with Deutsche Bank.
Bryan Kraft: I guess, a follow up question on the strikes. If the writers and actors are back to work sometime before the end of the year, how should we think about the impact on 2024? Will the negative impact in 2023 translate more or less into a similar positive impact in 2024, is that production shifts into next year?
Ari Emanuel: Here's what I would say. Having gone through multiple strikes, I think it will be months, not days, until the strike kind of gets settled and things start back up. So things that were shut down that were filming will start up and then there will be the pre-production and then going into production. So you're talking months, not days, until that pipeline. When it ends, again, we do not know, et cetera. So it's complicated that's kind of not since the 60s, it's unlike any strike that's happened in a long time. But it's going to be months, so let's just say it's in the back half. We'll have more updates, as Jason said, in a couple earlier questions and then we'll give you kind of where we think, does it begin at the beginning of '24, maybe to the tail end of '23, we do not know.
Mark Shapiro: And Bryan, to Ari's point, I mean, it'll take a while to ramp up, but we live in the comp business. So we look forward to this getting wrapped up. Our clients having better economics with each of their deals, us prospering from a return to normal business with better economics in '24. So that bodes for a strong picture. And I would just say on top of that, non-scripted while we haven't seen it yet, because the studios have been bankrolling cash, we are just beginning to see now a ramp-up in orders for non-scripted. So that will also inert to our benefit in '24.
Ari Emanuel: Here is the one thing that you can take away from this. Unlike most negotiations that all of us have gone through, the one answer that we do know, this strike will come to an end, both these deals will come to an end. I don't know when but they definitely will.
Mark Shapiro: One time and temporary.
Operator: Thank you for your question. The next question is from the line of Stephen Laszczyk with Goldman Sachs.
Stephen Laszczyk: Maybe you could just expand on the demand for non-scripted and to the extent you are seeing an uptick in demand, in production or orders from studios. And any commentary on maybe how that could offset some of the headwinds in the representation segment from the strike over the next quarter or so, that would be helpful.
Mark Shapiro: Yes, look, we are leaning in a big way. Ari mentioned Endeavor Content, which obviously we sold for a big number and a big multiple. We are now leaning in on that same strategy for non-scripted. So I'm sure you have seen some headlines, some investments we have made, an acquisition we made with Asylum Entertainment. We think non-scripted is a real strong play for us and we are ramping up in that area. In terms of the studios and ordering, I think everybody thought, strike, they are shutting everything down and now SAG-AFTRA members strike they are for sure shutting out, they are going to start ordering game shows in reality and non-scripted like crazy. Well, frankly, they didn't do that out of the gate. Their bank rolling cash and that's why you see some of this cash flow a little better with each of these earnings reports. We are now seeing for the first time this week that they are starting to ramp up, which means they see a prolonged strike and they need to fill the pipe with something. So that's beginning to take place. And I would tell you in the shape and form it's taking place, they are actually coming back and ordering shows that they passed on prior to. So look, we hope we'll be in a good place here where the strikes over, to Ari's point, ramp up begins, production gets going, pipeline gets filled, but they have made all these non-scripted commitments. And by the way, we happen to have investments and ownership in companies that will benefit us on both sides.
Stephen Laszczyk: And then maybe just one more if I could on the Sports Data & Technology segment for Jason. I think I heard you say that the growth is going to be backend loaded. I wasn't sure if you meant, that sequential growth off of 2Q's revenue performance?
Jason Lublin: We basically meant that the majority of the EBITDA in the segment is weighted in Q3 and Q4 for the year.
Mark Shapiro: I'll tell you, clearly, you saw the news today with ESPN and ESPN Bet and PowerSchool and PEN Entertainment, I mean, we are not the only ones that think sports betting is a major part of the ecosystem.
Operator: The next question is from the line of Jessica Reif Ehrlich with BoA Securities.
Jessica Reif Ehrlich: Kind of a three parter on content, just going back to the strike. You are reporting at the tail end of most companies. So we have heard everybody’s talking about content and becoming more efficient. Do you think that the industry is structurally changing how they're thinking about content spend going forward? And are you seeing an increase in third-party licensing, can that mitigate some of this impact for some of these entities? And then, I mean, it seems pretty obvious, but you know unless there's a global strike or strikes then a lot of this will move offshore, a lot of the production. How does that impact your business? And I guess just a small thing, but Ari and Mark, like how do you plan to split your time between the two companies post TKO?
Mark Shapiro: New record, Jessica, four questions…
Ari Emanuel: Here's what I would say to you. We don't see any pullback. I mean, we're in the strike now. In content spend, there's been many indications, new programming, trying to get you subs and maintains your subs. Sports does the same thing. Netflix and other people have been buying stuff internationally always. There's, I don't believe that yet, that there's more efficiency. I think there's six to seven buyers with Sony and Paramount also on the movie side and direct to consumer business. So from my perspective, content spend has continued, it's actually increased. Hopefully it doesn't -- the strike does not hurt the theatrical business. But again, as I said in the past, they've got to continue the pipeline, even though linear is going down and cable's going down, they got to continue for their SVOD strategy, and now the theatrical business with all these movies coming out they still performed. They're picking up -- they've always picked up shows from international territories, a lot of Netflix doing that. So we feel good about that. And I would say to you is one of our strength is that we're a global company. And so when you say kind of, we have our eyes all over the world, one for sports but also for non-scripted businesses, as Mark said a bunch of our acquisitions. So we're covered in that space on a go forward basis.
Operator: Next question is from the line of David Joyce with Seaport Research.
David Joyce: Given that one of the opportunity sets for the pending TKO creation is on the international front in terms of building out the footprint. I was wondering what the international opportunities are for representation. What might you be doing in terms of organic footprint build in terms of agencies or through acquisitions, and what's the gestation period for the acquisitions or organic builds, getting up to the representation division norms?
Mark Shapiro: Yes, David, look, I think this kind of dovetails a little bit with Jessica's question in terms of localized content. It just goes hand in hand with the demand for content that we're not just seeing in this country, we're seeing globally and we are geographically spaced to take advantage of that. So we are in 38 different countries, meaning WME, IMG, Endeavor as offices and boots in the ground in 38 different countries. From Japan to Shanghai, Beijing, Singapore, obviously, all the way across Europe, into Australia, New Zealand. I mean, we're covered everywhere. And the way to sell shows and the way to sign new clients and celebrities and actors and writers is to, of course, be there and have your ear to the ground knowing who's hot, what's trending, where the zeitgeist is going. So we see that as a major area of growth for us. In fact, you'll probably see us open up more offices globally where we see opportunity in content everywhere from India to Korea.
Operator: Next question is from the line of Tom Champion with Piper Sandler.
Tom Champion: So a little bit of uncertainty in the business related to the strike. But curious if you could just talk about the consumer appetite to spend on experiences, just overall view of the consumer. And then, maybe if you could talk a little bit about Sports Data & Technology. I think you referenced a new deal in Greece. And Mark, I think you've talked in the past about non-traditional venues here domestically. What's the opportunity that we should be watching for in that part of the business?
Mark Shapiro: I mean, look, Ari and I can jump on each other here with regard to consumer events and experiences. I mean, look, it's hot, right? We've got a whole new world of what the definition of going back to work is, right? The five day work week is largely dead and not coming back anytime soon. So folks out there, whether you're in the US or the youth in China, they have more time on their hands and they're looking for more ways, whether they have the money or it's credit to spend their discretionary time and income. And we're seeing that across the board. We represent the WWE and we're reporting sellouts every which way they go. UFC, obviously, you've seen the trend line there and the ticket sales we're getting, record ticket sales. For our last five events of the UFC, Madrid Open, biggest attendance we've ever had and highest ticket yield. Miami Open, biggest attendance we've ever had and highest ticket yield. Even Super Bowl 58, we just finished, we just hit the benchmark of a $100 million for the Las Vegas Super Bowl, which is upcoming. We just hit the a hundred million mark.I mean, ways off. And people are pre-ordering tickets just to make sure they get a seat at these premium events, and it does go back to premium. And I would just tell you finally in August, we've got our Air Lingus College Football Classic, which is in Ireland, it's Notre Dame versus Navy, and it's completely sold out. And On Location's going to do record performance in terms of premium experiences. So we couldn't feel better, festival of business strong, music touring business strong, everybody wants to play our food festivals, Taste of London was a record number for us. So look, we don't see that falling away anytime soon. And on the Sports Data & Technology, all I would tell you there is this is a natural part of the content ecosystem. I mean, sports betting, sports viewing, sports participation, merch, commerce, you see what's happening with fanatics and the way they're expanding their business and getting into sports betting as well. It's become something especially the young people want to do as they're viewing multitask and get engaged in a much deeper and meaningful way, and we feel great about it. Our launch in Greece with OPAP and OpenBet has been a monster success for just a few weeks out. And of course, we're, licking our chops with the fact that Brazil is now legalized gambling and that's going to open up that whole region to us. So Sports Data & Technology see some of the other sports betting companies and the way they're jumping and gaining genius sports radar and their stock prices and rights, and we feel good about the opportunity to really layer in there.
Operator: There are currently no further questions registered [Operator Instructions].
James Marsh: Next question please, operator. That's it. I just want to thank you all for joining us and participating in the call today. Thank you.
Operator: That concludes the conference call. Thank you for your participation. You may now disconnect your lines.